Operator: Good afternoon, and welcome to the ClearSign Combustion Corporation Second Quarter 2018 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lou Basenese, Vice President of Corporate Communications. Please go ahead.
Louis Basenese: Thank you, Operator, and welcome everyone to the ClearSign Combustion Corporation's second quarter 2018 results conference call. During this conference call, the Company will make forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes remarks about the Company's projections, expectations, plans, beliefs and prospects. These statements are based on judgments and analysis as of the date of this conference call and are subject to numerous important risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. The risks and uncertainties associated with the forward-looking statements made in this conference call include, but are not limited to whether field testing and sales of ClearSign's products will be successfully completed, whether ClearSign will be successful in expanding the market for it's products, and other risks that are described in ClearSign's public periodic filings with the SEC, including the discussion in the Risk Factor section of the 2017 Annual Report on Form 10-K. Investors or potential investors should read these risks. ClearSign assumes no responsibility to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. On the call with me today are Steve Pirnat, ClearSign's Chairman and Chief Executive Officer; Brian Fike, ClearSign's Chief Financial Officer; and Steve Sock, Senior Vice President of Business Development. With that, now I'd like to turn the call over to Brian Fike. Please go ahead, Brian.
Brian Fike: Thank you, Lou, and thank you everyone who has joined us on this call today. Before I turn the main portion of the call over to Steve, I will review our results for the second quarter of 2018 as they have been reported on our Form 10-Q. For the quarter, we incurred a loss of $2.4 million, compared to the loss of $2.2 million for the same period in 2017, and the loss of $4.7 million for the six-month ending June 30, 2018, compared to a net loss of $4.6 million in the same period of 2017. Shares outstanding, at June 30, were 23,361,353. As most of you know, we completed a stock offering on July 20, wherein we sold 5,213,542 shares at $2.25 each, raising a net of approximately $11.6 million. Our cash resources were about $8.3 million at the end of the quarter which was complemented after the end of the quarter by the net proceed of the stock offering, adding the extra $11.6 million. With the combination of those two items of cash on hand, we had working capital available to us as of our filing today that carries us well into 2020, assuming no revenues or changes in the expenditures. And with that, I would like to turn the call over to our Chief Executive Officer, Steve Pirnat. Please go ahead, Steve.
Stephen Pirnat: Thank you, Brian, for that financial update. And I would like to thank and welcome participants on today's call. Today, we intend to review our progress during the second quarter of 2018, as well as share insight into future activities for 2018 and beyond. First, I want to add to Brian's comments regarding our recent offering via a private placement to Clear SPV, which is a single purpose vehicle capitalized by a small group of experienced high net worth and single-family office investors with the sole purpose to acquire a large equity position in ClearSign and benefit from the stock's long-term appreciation potential. We are pleased to have been approached unsolicited by this group for consideration and strategic investment. They spent months completing their diligence. During that time, they made multiple visits, site visits, and spoke with a number of combustion and environmental regulator experts. In the end, they came to the same conclusion that we reached, ClearSign's technology and intellectual property are capable of touching billions of dollars in total addressable market. We are thankful for their support, and we believe the capital they provide will allow us to execute on the company's growth plan without the distraction of future capital raises. As part of the transaction, we also strengthened our Board of Directors with the addition of Mr. Rob Hoffman. Rob comes to ClearSign with more than 30 years of relevant capital markets experience and expertise. He has served as Managing Director, Portfolio Manager, State Investment Counsel Chairman, Assistant State Treasurer, Merger and Acquisitions Analysis, and throughout his entire career, a Fundamental Investor. We are fortunate to have such an experienced individual join our board. And I look forward to working with him to capitalize on the tremendous market opportunities in front of ClearSign. Speaking of which, we all know that emissions control is a massive, urgent, and global need. We remain convinced that ClearSign is uniquely positioned to meet the needs of our target markets thanks to our technology that can provide improved energy and operational efficiencies while dramatically reducing emissions. On our last call, we shared three key initiatives that focused on -- and focusing on, which I would like to remind you of today. The first is the accelerated penetration into our existing markets where we've already demonstrated best-in-class emission control performance with our patented Duplex technology. These markets include refinery process heaters, commercial and industrial boilers, and once-through steam generators, and enclosed ground flares. The second is expanding into new international markets, including China as well as Europe and the Middle East. The third, is continually investing in technical developments to protect and enhance the company's competitive advantage, as well as enable expansion into new markets. During the second quarter, I'm happy to report that we continue to make progress in all three fronts, which I would like to review at this time. As we recently announced, we entered into active negotiations with a second unnamed super-major oil and gas company. ClearSign is actively working with the super-major to identify equipment and an initial installation at one of its many refinery locations. This comes on the heels of the ExxonMobil completing a comprehensive set of qualification tests on the ClearSign Duplex technology. ClearSign is now ready to work with both super-majors to identify equipment for initial paid installation at their refinery location in the coming months. While we are limited about what we can say because of confidentiality agreements, I want to make some important clarifications about our work with both super-majors. An initial installation does not necessarily mean a single unit sale for ClearSign. Various locations and pieces of equipment under consideration contain multiple process heaters with multiple burners in each unit. What's more, both super-majors have expressed interest in standardizing the Duplex technology into existing heaters within the United States and abroad where the Duplex platform is suitable for deployment after successful installation and operation on the first unit. The revenue potential for the company here cannot be overstated. Understandably, we are encouraged by the addition of a second super-major in our pipeline, and believe it demonstrates the increased commercial interest from our global super majors and serves as an important validation of Duplex technology. Once locations and installation schedules have been finalized we will surely notify our shareholders on the progress. Also in our Refinery segment, we are working with our repeat customers in California to expand the capacity of our existing Plug & Play burner technology to achieve a greater share of the low emissions retrofit business. This is significant because it enables us to scale up Duplex Plug & Play technology without the costly capital outlay required to expand our existing test facility at our Seattle headquarters. Successful results, which we expect, will also enable us to accelerate penetration in the key refinery segments by offering a product suit of Duplex Plug & Play burners which meet the majority of burner configurations in the field. In terms of overall commercial momentum, we do not believe our reported results accurately demonstrate the significant progress we have made in the last quarter. We realize that it is difficult -- the difficulty is in predicting the timing of orders, and it's frustrating. But let me assure you that a lot of positive progress has been made. Last quarter, we shared that we were experiencing a meaningful uptick in new business opportunities in our established verticals. That momentum has continued into the second quarter. At this time, I would like to turn the call over to Steve Sock, our Senior Vice President of Business Development to provide more details on this front. Steve?
Steve Sock: Thank you, Steve. And thank you for the opportunity to provide an update on the encouraging progress we're witnessing in our commercial pipeline. Before I discuss the details of our pipeline, I want to talk about the changes we had made to our sales team over the past year. I joined the company roughly one year ago about the same time we added Clarence Payet to cover Europe and we also added Manny Menendez to cover China and Asia-Pacific including establishment of the necessary business units to facilitate transactions in those regions. The current business development team, each has at least 25 years of relevant industry experience and I am convinced that these changes have significantly upgraded our direct sales ability as demonstrated by the improvement in both the quantity and quality of our commercial pipeline. As we shared in our quarterly press release, since December 2017, ClearSign's business development efforts have resulted in more than doubling of the commercial opportunities to approximately 70 active engagements not including the Asia market. This represents a significant acceleration in the last six months and is a direct result of the broadening market awareness and technical acceptance of our Duplex technology especially with regards to the Plug and Play product. It's important to clarify what we consider an active engagement. An active engagement includes specific client requests for technical and commercial information about our product in advance of making a purchase. As an example, this could include a formal request for proposal, a request for a budgetary quotation, a request for advanced engineering services or a technical evaluation of project feasibility depending upon the customers' project execution process. Most importantly, these engagements are for specific identified services where a need has been identified and our technology is being considered as the solution. It's also worthwhile to share the types of opportunities that comprise these engagements we've identified. These include single burner boilers, steam generators, flares or processiators [ph] that have repeat order potential. More complicated multi-burner processiators such as delayed coker heaters or steam methane reformers that may have 50 or more burners per unit, client-wide multi-site programs encompassing 30 or more units of varying sizes, types and burner caps. While the precise timing of orders is difficult to determine, we believe the sizable increase since the end of last year demonstrates we're making significant progress towards broad based commercialization, and we remain optimistic about the prospect of converting these opportunities into meaningful revenue. In fact, multiple engagements are in the final stages of this process. So in summary, we're extremely encouraged by the continued opportunity and high probability of follow-on orders in our existing markets. I will be happy to answer any questions regarding our commercial pipeline during the Q&A session later in the call. At this point I would like to turn the call back other to our CEO, Steve Pirnat. Please go ahead, Steve.
Stephen Pirnat: Yes, thank you, Steve. With those additional details, I'm hopeful shareholders now understand why the entire team at ClearSign is so optimistic about the potential for meaningful sales in our existing markets in the coming months ahead. As a reminder, we have 12 operating installations in our domestic market with existing customers. Our Duplex technology is proven and achieving best-in-class performance as expected. We are excited about the tangible follow-on and new order potential of these markets based on the requests in our pipeline. Customer interest is not going away. To the contrary, it keeps increasing. Moving outside our existing markets, you recall our second key area of focus is expanding internationally. We remain focused on international opportunities that represent the fastest path to revenue for the company. The most notable of such opportunities remains China. We continue to work with a large state-owned enterprise on the retrofit of a large district heating facility, which alone, if successful would represent literally thousands of retrofit opportunities for us. To that end, our President of ClearSign Asia, Manny Menendez is headed back to China in the coming weeks to finalize the next steps to satisfy the testing requirements before the beginning of the heating season this year. It is important to note the heating district projects represent one of several opportunities for ClearSign in China as well as relevant last quarter -- we talked about the advances -- discussions we are having in the refinery and petrochemical industries. What's more, potentially strategic investment partners like CITIC and others remain interested in helping us accelerate our development efforts in China. Beyond China, during the quarter, we experienced a notable uptick in the number of commercial discussions with blue-chip customers in other parts of Asia, in Europe, and in the Middle East, underscoring the long-term market opportunity and demand for our technology. A final focus area is technology development. A recent key milestone during the quarter in our working development, there was a pre-engineered fire tube boiler burner. You'll recall this product has been in the laboratory development stages for quite some time. Last quarter, we announced that we were able to achieve NOx emissions of less than 8 ppm corrected for 3% oxygen concentration. This represents a nodal improvement versus the previous profiled 10 ppm at 5% NOx concentration -- oxygen concentration rather and gave our team confidence that we could reach our stretch goal of 5 ppm NOx at 3% oxygen. I'm very pleased to report that we did indeed reach this stretch goal. This is a truly breakthrough emissions profile for the industry and represents a billion dollar market opportunity worldwide for ClearSign. We believe it allows ClearSign to meet the strictest existing and upcoming environmental regulations in the world and we can do it with an incredible value proposition for the market. The cost to implement our technology in this vertical is a fraction of the cost of SERs or competing technology. In addition, our technology can be retrofitted in a matter of days, whereas competing technology can take several months to install. Based on the latest success, the final step is to move out of the lab into the field to demonstrate the performance of this unit. To that end, the company is in the process of securing a test site for the unit. At the same time, we're engaged in multiple commercial discussions per our original plans for this vertical market to license the technology to a major global boiler manufacturer. The latest success on the fire tube boiler underscores our commitment to advancing our technology to regular research and development investment. Our team continues to make technical advances which could facilitate expansion into new end markets. At the appropriate time, we will provide more details on these expansion opportunities. Our ongoing commitment to research and development has led to eight additional patents granted in the second quarter, bringing our total patent portfolio to 49 granted in the U.S. and a 112 pending applications as of June 30, 2018. Before the question-and-answer session, I'd like to provide an update on the regulatory front. We continue to work with South Coast Air Quality Management District to finalize a partner for the demonstration side in Southern California. We have several candidates interested in participating and believe we're close to making announcement on this front shortly. As mentioned in previous calls, emission rules are being revisited in multiple jurisdictions in our core markets. The San Joaquin Valley Air Pollution Control District recently issued a draft of its proposed regulations. They called for lower emissions and for the potential to increase fees for noncompliance and eliminate the grandfathering of our existing sites. While these regulations will go through an extensive review process before they are being finalized, lower emissions requirements would obviously favor our business and our lower cost technology over the competition. I want to let the shareholders know that we are taking a proactive approach regularly communicating and meeting with the regulatory agencies to ensure they have the most current operational data as they work towards finalizing these new regulations. We will continue to be engaged in the process and provide relevant updates as they become available. In closing, I'd like to reiterate that ClearSign made significant progress toward broad-based commercialization of our Duplex technology during the quarter, as evidenced by the more than doubling of our business development pipeline. The increase clearly demonstrates a serious interest in our technology on the part of customers, including multiple super-majors in our key market. We're confident we will soon this pipeline convert into meaningful revenues, and we remain laser-focused on this objective. At this time, I would like to turn the call over to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from David Brown, a Private Investor. Please go ahead.
David Brown: Hi, Stephen. Congratulations on reaching the goal of five parts per million at 3% oxygen. That sounds very exciting.
Stephen Pirnat: Yes, thank you. I'll pass it on to the R&D guys who did most of the work.
David Brown: So if I'm recalling correctly, in my middle-aged mind, I believe you at one conference call had said that once we reached five parts per million at 3% oxygen a licensing deal would be, I think your words were, a slam-dunk. So could you expand a little more on what the next steps are going to be? I think you mentioned putting it from the lab and to the field, and you are in discussions with a major global boiler manufacturer. Am I remembering correctly your words?
Stephen Pirnat: You're remembering absolutely correctly. I think, just to provide some color, the value of a five ppm NOx burner at 3% corrected oxygen stands on its own merit. So I mean it's attractive to just about everybody in the industry. I think before we sign on the dotted line with a license agreement we have to see who would be the best partner for that. We have several candidates around the world. And I also think it would be prudent to get the burner beyond our laboratory testing and out into a couple of field installations. And we're actively looking at sites, one in the U.S. and actually one in China to demonstrate the technology, again in a real-life field installation.
David Brown: It sounds very exciting. Second question, quickly, as far as our international markets go, and most notably China, I believe in the last conference call you mentioned a couple of names like of Sinopec and BASF as opportunities besides the current unnamed customer. So kind of two parts to the question, where are we in the progress with the unnamed customer? Is it not much progress because the heating season is just getting geared back up again in a couple of months, or is there other progress that has been made? And secondly, is there any color on work with BASF and Sinopec?
Stephen Pirnat: Well, I mean the heating season will kickoff again in, let's say, October, late-September. So we're getting back in the queue with the customer in terms of coordinating some additional testing in the field, and that's what Manny Menendez is working on, and he's actually in China and will be for several weeks. Separate to the district heating business, people like Sinopec, which is really a refinery, the national refinery, and people like BASF, which actually has a joint venture with Sinopec are a chemical company. We have independent discussions going on with them for multiple heaters. And like what we go through in the U.S., they have to identify the asset and identify what's an appropriate time to take the asset out of service and then put their own project team in place and decide what kind of results they want. In some cases they clearly want emissions reductions, but in other cases, which is unique to our technology, they see opportunities to improve throughput through the asset by eliminating flame impingement. So there's a multifaceted decision making progress with the Sinopecs and BASFs regarding when they select the asset and when they pull the trigger. But of course, as soon as we get a hard order and a shipment date we'll announce it because we're chomping at the bit to get that over the goal line.
David Brown: And I'll just back in the queue, just one quick follow-up question. In China, are there any concerns that -- or things that you've noted as a company that the so-called trade war issues between the Trump administration and China are causing for the company?
Stephen Pirnat: It's funny to say this, but I'm not really concerned about it from ClearSign because we're planning on working with a state-owned enterprise as a Chinese partner. And we have considerable interest, as I alluded to in the script, will people like CITI, who is a state-owned investment bank, who are actively supporting an investment in ClearSign technology. I guess the short version of it is they'd rather have clean air than a fight with the U.S.
David Brown: I can see that point. Thank you very much, Steve.
Operator: [Operator Instructions] The next question comes from Robert Kecseg with Las Colinas Capital Management. Please go ahead.
Robert Kecseg: Hi, Steve. Yes, I have to say that I'm about as optimistic as what I see in a stock quote. When you use the word validation it sounds like something really significant has happened. In the November press release of Exxon it says, that it represents a critical step in the validation and rapid deployment of the technology in process heaters. That was 10 months ago. So these announcements that we have them committed to put one in doesn't relate to any revenue. To me revenue would be a validation because then it's operating, you're able to book it. And what we have is we have a lot of announcements but we really don't have any revenue. The only revenue for the year was something that concluded the flare thing from a long time ago that got booked in this year. So we're now -- it's great that you got the financing from another group, but it doesn't represent a validation of anything. And that's absolutely reflected in the scoreboard. The scoreboard is where the stock resides. So we just sold a lot of stock at this $2 and something price, and we just can't get revenue. Plug & Play has been around, the productization for a while. And I believe if I'm right, there is one burner at Delek that has Plug & Play in it, with five more burners waiting. But nobody seems to want to put it in. So tell me how we get real validation and get real revenue.
Stephen Pirnat: Well, there's Plug & Play burners at two other refineries in California who won't allow us to use their name, so -- but your point is well taken. I think the issue with an ExxonMobil in terms of validation is it's typical of the somewhat attractive decision making process that you deal with a super major. And by that I mean it was a significant effort on our part to convince the top technical experts from ExxonMobil to pay for, which is unusual for them to pay for anything, a demonstration test where we really ran all the traps with the burner in our test lab. And it was based on their impression that the technology really helped promise that they were willing to pick an absolute location in a refinery in Texas, install it in an actual refinery. And that process probably took us six or eight months to get the nondisclosure agreement signed, and another six or eight months to get the testing done with Exxon. And we now have a scheduled date to do a walk-down in their refinery, which I think is the end of August. And you're probably a few months out before they pick an actual location, shut off the heater or let it cool down, put the unit in. So I don't completely disagree. Of course, I can't disagree with what you're saying, more orders would be better. There's nobody here that isn't passionately trying to make that happen. But when you look at, what I call, the validation of the process of working with a super major, getting them to pick an installation, install the unit, and get it up and operating, which is the next logical step for Exxon and the other super major who we haven't been able to name. That's just the protracted nature of way this thing works. The general rule of thumb with someone like Exxon is if it has an operator for two years it doesn't exist as far as they're concerned. And we've been able to shortcut that process because of the compelling nature of the technology. It's a cheap solution to a tremendous environmental problem, and to Exxon's credit. And you've probably seen these ads, whether you're watching a gold tournament or a soccer game where Exxon has been very aggressive at promoting their investment in new technology to improve air quality, and good for them.
Robert Kecseg: Yes. I was going to say, if and when that occurs with them, it's certainly credible once it's installed and it's functioning. But is that going to be an installation of the Plug & Play unit or is it going to be some sort of a retrofit of an existing situation like we got tangled up with in China?
Stephen Pirnat: No, it's going to be a Plug & Play. We already know what asset they're taking about and we already know what size burner they're talking about. So we're pretty far along in that. But it'll be a replacement Plug & Play burner.
Robert Kecseg: If you had to do over again in the Chinese thing, would it not been to have an installation of this unit rather that the retrofit? I mean in the frustration, in the length of time that was expended in that? I mean, it had to cost the company a lot of money for the length and time you were trying to retrofit?
Stephen Pirnat: Well, the specific district heating opportunity that took the time I think you're referring to is major water tube boiler retrofit, so it's not a comparable or comparative situation. An installation with a Sinopec or a BASF would likely result in a potential for the Plug & Play solution, but these large district heating systems are large stationary water tube boilers, and that's a completely different product variation. It's a lot more -- in fact it's almost identical to what we did in the ones through steam generators at Aera. And the reason we chose to do what we did was because the customer was telling us that's what they wanted. And the customer said once you make this thing work there's thousands of these things. So I wish it would've been simpler, and I wish it would've gone faster. And I wish I was printing orders for 200 of these right now rather than explaining why we need more time. I know I get all that, but I think our decision to go forward with the district heating the way we did was really a byproduct that that's what the customer wanted us to do. And then separately, we could do a Plug & Play refinery-oriented solution in China or anyplace else in Asia for that matter in a refinery or a petrochemical plant.
Robert Kecseg: But the only problem with that is the customer was very wrong because they don't even have the installation in, so they have no operating results. And of course we have, obviously, zero revenue. So no matter if there was a billion boilers or burners or whatever it doesn't make any difference if we don't get one in. Then you could turn to the other side of the page and you talked the oldest customer is Aera Energy, and I think we've put in three for them, but…
Stephen Pirnat: Yes, we have three.
Robert Kecseg: But there seems to be no consideration of that in terms of any additional business. It's been a long time since that order was given and recently completed, the third installation. But there is a customer that has three apparently satisfactory operating in its TSG, but there doesn't seem to be any motivation or whatever that shows us that we have a chance at additional business, but we don't have any business pending that's announceable. And then the third are is the flares which I thought maybe the flares would work better because maybe you don't have to shut down a facility like with the process heaters. But we've only had one single customer in the flare installation thing and haven't heard of any other prospects. And when you overlay that with the amount of money that we're expending every year, or every quarter, I would look at the quarterly $2.7 million a quarter, we're just getting killed without getting any business in. I mean, we don't even have a million dollars worth of annual revenue. And the flare thing to me is really astounding. They're constantly drilling wells, they're constantly out there, hundreds and hundreds of wells. And one customer is the only one that we put an installation in, and I think it was six actual units if I recall. So how is it that that hasn't mustered anything else from any other customers beside the single company we've dealt with?
Steve Sock: So, Rob, this is Steve Sock. I can answer both those questions for you. And the answer comes down to the air quality district, where both the flare customer and other flare customers and Aera operate, which is the San Joaquin Valley. And in that district the regulators had been in a year-and-a-half long process of developing new rules. And on July 31, they actually published those new rules, they call it their PM2.5 Plan, and I attended that workshop presentation of the rules on that date, and then followed that up with meetings with Aera and other potential customers and existing customers in the San Joaquin Valley. Clients aren't going to make a decision to meet an environmental regulatory target that they don't know. It's like throwing at an invisible or moving dartboard. So, part of their hesitation to date has been largely associated with this moving target and the regulators' delay in publishing these new emissions targets. That has now been issued. Their plan has been issued, and they will now go through the detail of rewriting each of the rules and finalizing these rules. And we're optimistic that this will lead to additional opportunities for us as Steve had mentioned previously in this call.
Operator: The next question comes from Michael Brcic with National Securities. Please go ahead.
Michael Brcic: Yes, hi. I missed a little bit at the beginning so forgive me if I'm going over something you already said. But on the release you mentioned you engaged a second super-major for Duplex evaluation. Now, the first one, I think, you said that you're actively working with both of them to look at orders, et cetera. What sort of numbers are they talking about this point, I guess it's ExxonMobil. Are they saying, we're looking at one or two more to see how it goes or looking at 20 to 50, we're looking 100, we're looking at doing everything. Any color on where the talk is? I know you don't have any orders yet, and I know that actual dollar numbers and things like that probably very confidential. But is there a way you can give us a sense of what we're talking about?
Stephen Pirnat: Well, we kind of alluded to this in the prepared remarks. But to be specific, the next step is for them to identify, which they have, an actual installation in a refinery and get it up and running in an actual refinery. Prior to that we did a lot of testing for them to get to that phase, but we did it in our lab. And embedded in the discussion is the fact that if the technology works the way they hope they've got hundreds of heaters and thousands of burners that are potential opportunities for us. In fact, and I know you're not following this as closely as perhaps I do, but the initial press release, and I was somewhat astounded, ExxonMobil rewrote to include, not only their refineries, but their chemical plants and their assets around the world reflecting the size of the opportunity within ExxonMobil. And the other super-major, these giant multinational refineries are very similar, has a similar opportunity. Once we get it in this refinery, get it up and running then the ability to sell hundreds of burners to these customers is kind of fairly obvious. And then beyond that, we've dealt with as you can imagine a lot of the smaller refineries who were more willing to take risks and work with us, because they see it as a good economic solution to some of their more complicated emissions problems. Once you get a ExxonMobil or two or three super-majors standardizing on your technology, all of these smaller refineries become amenable to using the technology because they got ExxonMobil who's told them it works.
Michael Brcic: Okay. So the second super major, they're not working at you going through the lab stuff again. I assume they're familiar with the results of the lab stuff with ExxonMobil?
Stephen Pirnat: Yes, I think they…
Michael Brcic: They're technically both at the same level now.
Stephen Pirnat: Yes, we're both looking for an installation in a real refinery.
Michael Brcic: And then did they give you a sense of how long they want to see it working on in the real world environment before they're ready to pull the trigger?
Stephen Pirnat: They really haven't. And that tends to be subjective and it'll depend on the refinery manager and what they call the subject matter experts. But they really haven't. And I'll be in their position. I think when they put the thing in, if they absolutely fall in love with what they see it'll happen pretty quickly. And if there's some questions about well, I don't necessarily like this and I don't necessarily like that, it might take longer. And when you say well, what are those characteristics that I'm referring to, it's flame color and flame shape and turn down and how does it operate on different degrees of hydrogen. There's a lot of nuances to the product and how it behaves in a heater that are all part of the decision making that these refineries make. So it's not like a plug and play printer where you plug it into your PC and if you hit print then it comes out the other end in color, you're done.
Michael Brcic: Right. Exactly. Let me make sure I understand this, you said some of the smaller refineries, are they using it in real world yet?
Stephen Pirnat: Yes, we've been asked if we had -- we have burners operating in three different refinery application throughout the United States.
Michael Brcic: Okay. And do the big guys know this?
Stephen Pirnat: Yes, that's how they decided to try it.
Michael Brcic: Okay. First of all, these both guys are going to pay for the installations, right?
Stephen Pirnat: Yes, absolutely.
Michael Brcic: Okay. So what are we talking revenues, roughly from each one of these single deals?
Stephen Pirnat: Well, when we know the size of the heater and the size of the burners, then we'll know, but it could be from several thousand dollars to -- I don't know $50,000.
Michael Brcic: Got it. Okay. When should we expect to see the first significant revenue, in which products and what sort of loose timeframe, because I think -- the problem is -- and I think I said this the last time, there's 70 different things going on that I think the market is confused [indiscernible]. So it's hard for them to focus, it's like, okay, where do you see the shortest growth on your products?
Stephen Pirnat: Well, as we said in the prepared remarks and this is perhaps obvious, given the background it's difficult to predict when we're going to start to see any particular order, but given the dramatic increase in the backlog of waters. And again, in the last six months, the number of inquiries doubled and their trajectory continues to be fairly robust, you would assume that at that pace that you're months away from starting to see relevant revenue, not years away.
Michael Brcic: Right. That's sort of what I meant by rough. Now what about capacity you liked let's say ExxonMobil three months -- we love this crap -- sorry, I didn't mean it in that sense -- we love this stuff we're just crazy about it, we want a 1,000, how quickly can you give them for 1,000?
Stephen Pirnat: Well, as you might recall, we have what we call an asset light model and by that I mean, we control the IP and the design, but we subcontract the actual manufacturing and assembly of our burners. So if they called up and said geez, I want 1,000, which is a problem I would, believe me, figure out even if they called it crap…
Michael Brcic: Well, we didn't mean it as a bad…
Stephen Pirnat: Oh, no, no, no. Believe me, burner guys are hard to offend, but I think we would have the bandwidth to go to a series of proven subcontractors and increase the volume of business fairly quickly and then not to go too far down this road but we have always maintained our interest in licensing the technology to the existing market incumbents.
Michael Brcic: Right, right.
Stephen Pirnat: And frankly, I'll just paint a story here if an ExxonMobil and an XYZ super major came to us tomorrow and said look, we love you guys and we want 1,000 of them, how are you going to get those, I would probably knock on the door of a couple of very large existing burner companies and talk them into building these for me under license. And I happen to know that the two biggest guys in the industry have hardly any business, so they would be very inclined to do that.
Michael Brcic: Got it, or I guess, alternatively the super-majors could go to them and say hey, we want this stuff in your products how can we…
Stephen Pirnat: Yes, absolutely, and we would be fine with that.
Michael Brcic: Right, exactly. I appreciate your answers. Go ahead. I appreciate your answers, thank you very much.
Stephen Pirnat: Yes, thank you.
Operator: Yes, thank you. The next question comes from John Reynolds, a Private Investor. Please go ahead.
John Reynolds: Hey, Steve, hey, Lou, how are you, congrats on your raise. You answered a lot of concerns that I had as a long-term shareholder. No one has asked about the warrants that are set to expire at the end of this year. Has there been any talk about extending those?
Stephen Pirnat: Yes, there's been -- the issue has been raised by several of our investors and it's something that's being considered by certainly management and the Board.
John Reynolds: When are they set to expire, it's the end of this year, correct?
Stephen Pirnat: Yes…
John Reynolds: So when would…
Stephen Pirnat: I think it's January 25, but…
John Reynolds: Okay, got you. So when would you communicate that?
Stephen Pirnat: As soon as we decide.
John Reynolds: All right. Thanks.
Operator:
,:
David Brown: Yes, Steve, just a couple. A little follow-up on some of the questions that have been asked, and just the frustration with the ramp and the speed of it and things like Exxon taking a very long time, so I'm just wanting to confirm here that the story remains the same, like for instance the data in the flares was a 90% reduction over the existing technology of NOx and it's working and everything is good, the customer is happy. So that's correct, right?
Steve Sock: Yes, that's correct.
David Brown: All right.
Stephen Pirnat: Again, I think, Steve's answer was related more to the environmental regulations and the need that the customer has to invest in additional low emissions flares in the backdrop of uncertainty as to what the regulations will be or not be.
David Brown: No, but I'm getting to a little bit different point here. I'm just wanting to -- I mean, the confirmation of the -- I'm wanting to just have the public hear from the company that all of the milestones and all of the data that's been reported continues to be solid. If it is, I want to -- if it's not, we need to -- I need to hear what's going on. For instance, I think if I -- I go back a long way here. We had -- Aera Energy was -- a lot of the super majors were going to go and see the first couple installations at Aera and see what was going on and confirm that here we have NOx at these levels in a working application. And the Norton study came out and showed tremendous cost savings without ammonia slip, without flame impingement, without a lot of different things going on. All of this is still advantages that have been out there for years, correct?
Stephen Pirnat: Yes, and they are consistently true and that from a material standpoint, the product performance and its ability to deliver on those attributes still is true.
David Brown: Right. Okay, excellent. And so help me understand the industry a little better. I'm not in the industry, this oil and gas industry or combustion industry, so why is it that everyone seems to want to have their own installation -- when do they start this trust thing -- I guess, maybe Exxon will be the one that'll start trusting Exxon, but is -- I don't know, help me out here.
Steve Sock: This is Steve Sock again, David, it's a good question, because I understand the frustration, but the refining in petrochemical industry is a major industry that is predicated on reliability and on-stream factors. They honestly do not take down units in some cases for five or six years between shutdowns for maintenance. So they have a very long execution process with many phases and gates. And we're injected and inserted into those execution processes with multiple different customers at multiple different stages. Some of them are getting very close to the point of purchase, other ones are still in earlier planning phases. But it's not uncommon for projects in this industry to take three, four, five or more years to develop, test, engineer and then ultimately install. And that's what we're dealing with this customer base who is all about on-stream factor and not taking their units down until they absolutely have to.
Stephen Pirnat: And if I could, Steve, let me just make this comment, because you've alluded to it. It's not a coincidence that Aera is a joint venture including ExxonMobil and so in point of fact, ExxonMobil got on this path years ago because they actually went to Aera at our insistence and spent days looking at this unit at 62.5 million BTUs an hour which is really 10x the scale of the burner they're currently looking at. And with all of that and you kind of said, trust me, here's Exxon people calling other Exxon people at Aera who are happy with the product and it still took them months to say okay, I guess, we can believe you.
David Brown: Right.
Stephen Pirnat: Now even I can't explain that, I'm just telling you I've been in the industry a long time and that's the way it is.
David Brown: And just one other grain of doubt in my mind that I want to get rid of -- there have been some technical issues here and there obviously with specific applications and especially when a customer like in China wants you to retrofit a certain particular unit and then you have to figure out how that unit works and as a European complicated machine and those kinds of things. But is there any major problem or minor problem or intermediate problem in installation process that's delaying things more than -- much more than we expected? Is there anything in there or is it just a matter of the way this industry works, has that pretty much been it or do we…
Stephen Pirnat: To get to the heart of your question -- and I've said this a few times before and my colleague reminds me is that in the three years I've been CEO, we have never had to take our ball and go home. We have never encountered a customer installation, a set of conditions, an opportunity, an application where we said can't do it, never going to happen, we're sorry we bothered you, give us our Duplex burner, we're leaving. So I know the heart of your concern is what I know about why this doesn't work because if it really worked, it's good as they say, and we'd be forward with business. And that's really not the problem. The problem is if it doesn't work. The decision-making among the clients is very, very methodical, and I defend them even though they make me crazy, frankly, but they look at it like, you know, if we make a mistake, we could destroy a $3 billion refinery.
David Brown: Right. Got it.
Stephen Pirnat: Now I think somewhere the lines cross between bold innovation and conservative to the point of no return. But Steve Sock and I and our management team, we live with the decision-making processes of our customer. And one of the prior callers, and I admire his comment, when a large Chinese national state-on enterprise says I want you to retrofit my crazy European burner, because if you are successful I'm going to give you to a thousand boilers. Even though I don't want to do that, I don't tell them no. I'll send a bunch of guys who would prefer to be home with their families to China for two months. And we will try to figure it out.
David Brown: Right. All right, well, I have been thinking that the inflexion point is right around the corner for a number of years now, but I still frankly, I see no big holes in the story, just a matter of timing.
Stephen Pirnat: I think you might finally be right here.
David Brown: I certainly hope so.
Stephen Pirnat: Hey, thanks for the call.
David Brown: Thank you. Bye-bye now.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Stephen Pirnat for any closing remarks.
Stephen Pirnat: Thank you. If there are no further questions, I would like to thank our investors for participating on this call and for their continued support for ClearSign. As we discussed earlier, the rapid acceleration in our pipeline of commercial opportunities over the last six months demonstrate the company is making significant progress to its broad-based commercialization, and we remain optimistic about the strong prospects for converting multiple opportunities into meaningful revenues in the near-term. Thank you everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.